Operator: Ladies and gentlemen, thank you for standing by. And welcome to the StealthGas First Quarter 2012 Results Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by question-and-answer session. (Operator Instructions) I must advise you the conference is being recorded today on Wednesday the 23 of May, 2012. And I would now like to hand over to your speaker today, Mr. Harry Vafias, [CFO]. Please go ahead, sir.
Harry Vafias: Thank you and good morning, everyone. Welcome to our conference call and webcast to discuss the results for the first quarter of 2012. I’m Harry Vafias, the CEO of StealthGas, and I would like to remind you that we will be discussing forward-looking statements in today’s call and presentation. And regarding the Safe Harbor language, I would like you to refer to slide number one of this presentation as well to our press release on our first quarter results. With me today is Mr. Sistovaris, our CFO, and if you need any further information on the conference call or the presentation, please contact to Konstantinos or myself. Before I start with the slides I would like to comment on the results we released yesterday. These are the best results we had over the last 24 months. Our bottom line income of $0.36 a share or $0.25 a share, excluding the gain on the vessel sale and hedging showed a significant improvement in the LPG market filtering down to our earnings. This is in contrast with the continuing difficult environment for more shipping companies, whereby fuel our reporting earnings at all. As a result of our focus on the initial LPG market we continue to operate profitability and we have laid solid foundations for the company avoiding any difficult financial position as far many other shipping companies are already in. Slide number two. As we have said in the past, our medium-term goal is to renew our fleet, buying new vessels and selling older ones. During 2011, we took delivery of the three newbuilding vessels which we then fixed on long-term time-charters. We also proceeded with the sale of four older ships with an average age of 16 years. During 2012, so far we have sold two vessels, the Gas Tiny in January and Gas Kalogeros in this month, and we have also taken delivery of one newbuilding, the Gas Husky in January and within next month, we will take delivery of our last newbuilding the Gas Esco. We wish to keep the averages of our fleet low and get rid of the older vessels that operate in the spot markets, so that we improve our contract coverage and operational efficiencies. In terms of leverage, we have always been cautious to maintain more leverage and not to overburden the company. At the end of the first quarter of 2012, our net debt to capitalization ratio stood at 43% similar to the previous quarter. Our gross debt stood at above $363 million at the end of the quarter, we do not expected to increase any further. We continue to strive to obtain a secure and visible revenue stream with stable and predictable cash flows. At the moment fixed employment for our fleet for 2012 stands at 80% with almost 60% fixed for 2013. We have extending the forward coverage of our revenues by entering to a number of long-term charters. Just to remind you that the equivalent forward coverage numbers in the same quarter last year was 63% and 40%, respectively. Our first goal has been to own and operate a modern fleet of gas carriers and in this respect the average age as of today is about 10 years, not including our three modern product tankers and the one Aframax crude oil tanker, which is rather young compared to the industry average. By focusing on the modern fleet we have manage to maintain the average age of our fleet to about 10 years for the past five years at least. We continue to believe that within our cost factors this gives us a competitive advantage as younger ships have less operating expenses, consume less bunkers and are more appealing to put charters and that -- and this factor will be very important as we move forward into this year and beyond. We’ll continue to have strong charters, which lowers our counterparty risk. This is key for any shipping company’s performance in any segment, especially in the kind of environment where you very often hear of charters defaulting on their commitments especially in the dry bulk segment. Because of the strength of the LPG market and the participation of more established names in it, we don’t expect to have any issues with our counterparties. If LPG rates continue to strengthen and we did have a charter default, we would expect to be able to find a new charter at even higher rates. Now in terms of the cost efficiency of our operation, I’m pleased to report yet another good performance in the first quarter. Our net income break-even level per vessel per day excluding losses on derivatives was $5,847 per ship per day, compared to $5,750 in the previous quarter and $5,975 in the same quarter of last year which puts us comfortably in the profit making territory. We continue to concentrate heavily on managing our cost base and the economies of scale which have allows us to contain cost as such as we can. During the past quarter we did not see any significant increases in any expense category except in bunker fuels for the few vessels that we had in the spot market. But lately the drop in oil prices is leading to a decrease in bunker costs. I would also like to remind you that once more that our general and administrative expenses are amongst the lowest in the public shipping sector. Finally regarding our $50 million share buyback, since the program inception we have bought back about 1.8 million shares or 8% of our total shares outstanding at a cost of about $8.5 million. We do not buy any shares during the first quarter of 2012. Slide number three. This slide demonstrates our fleet employment profile and provides you with the earnings visibility for each of our 37 vessels in our fleet, 33 LPG carriers, including one newbuilding, three product tankers and one Aframax crude oil tanker. At the bottom on the employment profile chart we have included the percentage of fixed employment days for ’12 and ’13, these enable to asses the stability and predictability of our earnings. For 2012, 80% of voyage days are already fixed and 55% for 2013 with the number of charters extending to 2014 and even beyond. We continue to share opportunities to employ our vessels on long-term charters. During the first quarter we announced the conclusion of five charters of duration of one year and longer, and another four charters shorter than one year and we also charted our product tanker for four years. Total contracted revenues are about $200 million up to 2017 and we estimated this equivalent for the LPG vessels on long-term charters is about $9,500 per day. In terms of charter types out of the fleet of 37 vessels we have 14 of the vessels on bareboat, 20 vessels on time-charters and three in the spot market. The company’s policy is to find employment for long-term charters in order to secure its cash flow, to reduce further our risk we have arranged for a number of bareboat charters. We now turn to the financial highlights for the first quarter, so I’ll pass you on to our CFO, Mr. Sistovaris.
Konstantinos Sistovaris: Thank you, Harry. Good morning, everyone. So let me continue the presentation with slide number four, the financial highlights for the first quarter of 2012. With an average of 37 vessels owned and operated in the first quarter, we realized net income of $7.4 million on voyage revenues of $29.1 million. EBITDA was $16.8 million and earnings per share for the quarter were $0.36. Included in the net income figure is $0.8 million non-cash gain on interest rate swaps fair value changes and $1.3 million gain on the sale of the vessel, the Gas Tiny. Excluding these items, our adjusted net income for the quarter was $5.2 million or $0.25 per share. The free cash balance at the end of the quarter was approximately $46.5 million. We also had about $7.6 million in restricted cash as part of our loan agreements. We now turn to slide number five for summary of our income statement in order to compare our results for the first quarter to the previous quarter and to last year's quarter. Compared to last year, when we had two more vessels in the fleet, our revenues decreased by $1.4 million, compared to the previous quarter with the same number of vessels in the fleet, they were slightly higher. However, the big difference is in the expense side. Compared to last year, our voyage costs were reduced by $1 million, while our operating costs were reduced by almost $3 million. Compared to the previous quarter, our voyage costs were reduced by approximately $2 million, while our operating costs were reduced by $0.1 million. The reason behind the reduction in our expenses is first that we had more vessels operating under bareboat charters, thus not incurring operating costs. And second, we had less vessels in the spot market, thus not incurring voyage costs. So while, our costs have come down significantly, our revenues despite having more vessels under bareboat charters, due to the strong chartering market have remained flat or reduced much less. Our operating income which this quarter includes a $1.3 million gain from the sale of the vessel was up by $3.7 million or 57% year-on-year. Our net income was up 308% year-on-year. If we are to exclude derivative non-cash gains and gain on the vessel sale, our adjusted net income was $5.2 million, compared to $2.7 million last year, an increase of 88%. Again on an adjusted basis, our earnings per share were $0.25, compared to $0.13 last year and $0.17 in the previous quarter. Slide number six, looking at our balance sheet. In terms of cash, we continued to maintain a healthy cash balance of $55.4 million including the restricted cash. As of March 31st, we had $16.5 million in vessel held for sale account, which refers to the sale of the Gas Kalogeros. The vessel was delivered to her new owners on May 4th. Advances for vessels under construction were $13.3 million. These are installment payments to the yard for our last newbuilding the Gas Esco to be delivered in June. We still have the delivery payment that will be covered by bank finance. Our vessel’s book value net of depreciations stood at $623.7 million, compared to $613.8 million at the end of last year. With the delivery of Gas Esco in June, we would expect this figure to be around $650 million by the end of the current quarter. In terms of liabilities, the current portion of our long-term debt that is what loan repayments are scheduled over the next year remained constant. We have around $9 million of principal debt repayments per quarter, $36 million per year that we can comfortably meet from our internally generated cash flow. We also have $12.8 million to repay the bank, once the Gas Kalogeros was sold and this money has been repaid as of today. Other current liabilities at $23.9 million are slightly increased. Our long-term debt decreased slightly to $315.6 million. We would expect our overall debt of $363 million to remain below the $370 million mark, after we have taken delivery of the last vessel. I would also like to point out that we have no debt maturing in 2012 or 2013, so there's no need for refinance. The first balloon payments on our loans are due in mid 2014 around $32 million and then in 2016. Regarding the compliance with our loan, we had one breach of loan-to-value covenant in one of our facilities related to one of our product tankers. Last year, we had obtained a waiver until March 31, 2012 regarding this loan, reducing the loan-to-value to 110% and once this expired in the current quarter, the loan-to-value reverted to the original 125% and we were not in compliance. We're in discussions with the bank to cure this breach. But we do not consider it to be a significant risk, after all in dollar terms the breach is around $2 to $2.5 million and we have over $50 million in cash. Other liabilities of $6.8 million relate to the fair value of interest rate swaps we have with our banks to protect us from increases in LIBOR rates. As of today, we have around 40% of the interest rate exposure on our loans hedged. On average, by 2013, we would expect half of our swaps to have expired or amortized, unless by this time we enter into new agreements. Stockholder’s equity for the first quarter was $320.5 million. We, now, please turn to slide number seven. These are operating highlights for the first quarter of 2012 and 2011. In terms of fleet data, we had an average of 37 vessels in the fleet versus 38.4 vessels last year. Hence, the number of days for the fleet has been reduced by 2.5% to 3,367 days. However, you should notice two things. First, the spot market days for the fleet have been reduced by half, because the vessels we sold were operating in the spot market and because we have concluded more period charters. And second, our utilization ratio has increased as a result of the new charters and they reduced idle time due to the repositioning between charters. In terms of average daily results, we continued to see our TCE rates improving from last year. We achieved a time-charter equivalent of $9,682 per day per vessel on an adjusted basis, compared to $8,967 per day per vessel in the same quarter of 2011 and $8,882 per day in the previous quarter. Our total operating expenses increased from $4,375 dollars per day to $4,227 per day. We still operate comfortably above break-even level in terms of income and cash flow. We now turn to slide number eight. As usual, we are going to provide you with some estimates for the remainder of 2012, the second, third and fourth quarters. We have contracted revenues under time and bareboat charters of approximately $66 million. Non-contracted voyage days for the vessels operating in the spot market all are coming off their charters are approximately 2,110. We have eight vessels that are coming off their period charters during the year. We expect our operating expenses would be around $8 million per quarter. As far as drydock expenses, we have fewer vessels to drydock this year, six vessels compared to nine last year. And we have already drydocked three vessels in the first quarter. Interest payments on our loans and cash payments on our swaps for the remainder of the year, we estimate to be $11 million and depreciation expenses of $21.8 million. As far as the payment for the newbuilding vessels is concerned, the remaining payments for the yard is for just for the delivery of the vessel and is approximately $19 million and we have already arranged for finance to cover the whole of this payment. We also have added some estimates in order to show you the potential earning power over fleet in an improved market. Currently rates were more than 5000 CBM. CBM vessels are closing about $11,000 per day. If at some point, we were to renew all the hires on our LPG vessels at the rates described below, that is from $11,000 to $13,000 per day, we estimate that the potentially be down, we could generate would be from $82 million to $105 million. Thank you very much. And I will now hand you back to Harry for some further comments on the market.
Harry Vafias: Let's move to slide number nine. As we have said in the past, one of the key drivers in the LPG market is supply of the product. LPG is also byproduct of natural gas and we expect that as more natural gas producing facilities are being built there will be more LPG available for shipment especially since it's too costly to store. The Middle East is the main exporter of LPG and usually VLGCs are used to carry the product from the Middle East to the hubs in Asia such as Singapore where our vessels take care of the local distribution. Middle Eastern countries especially Qatar have increased their [quantity] produce and it’s expected that further increases will continue so that LPG ship on trade in total could reach 70 million tons by 2014. As a result, we see increased interest for business coming directly from Middle Eastern companies. On the other side of the equation, demand is steadily increasing in developing nations especially in the Far East where the majority of our fleet is trading. A recent trend we have seen increasing demand for LPG from petrochemical plants due to the high pressure of naphtha. Both naphtha and LPG are fixed [optional] production of chemicals and as naphtha prices have recently been very high, it seems to be a switch from naphtha to LPG as a cheaper alternative. Although this may be temporary, it could provide good support for LPG seaborne trade. Slide number 10. In this slide, we show you one-year time-charter rates for the average size ship of our fleet. We have updated the slide to last year rates, current rates and future estimates. Looking at our vessel, the 5000 CBM pressurized ship, the rates in the first quarter of 2012 were $290,000 per month. That is the time that rates have started moving higher. In the first quarter of 2012, rates averaged $310,000 per month and the forecast for the current quarter for us remains steady as we head off into the summer season that is usually slower. What we consider an encouraging sign is the willingness of some charters to engage in longer period of charters for one to five years, we assume this is because they want to cover themselves for many future increase in rates. We have managed to include the number of such charters as previously announced. The last long being a five-year charter for our newbuilding vessel delivering in June. At this point, we only have five vessels operating in the spot market, but because of our staggered employment profile during this year, we have eight vessels whose charters will need to renew and would expect new charters to be at levels higher than the current ones. Slide number 11, as we showed in the previous slide, charter rates have improved from last year and we believe that fundamentals in our core segment that relate to supply/demand are favorable and as a result, the recovery will be sustainable despite of any short-term seasonals ups and downs. The order book for Handysize LPG ships is fairly small at the moment. On the one hand, we expect the order book over the next years to decline and so far we have not seen -- we have seen very few new orders for pressurized ships and newbuilding prices have not come down especially due to the strong yen. The Japanese yards quoting for new vessels are now competitive and we don't expect this situation will change drastically as long as the yen remains at the levels that it’s currently is. On the other hand, the existing fleet is relatively old, which means more vessels will need to be scrapped. Around 10% of the fleet is over 20 years of age and overall net fleet growth is small suggesting the demand for vessels will be higher than supply. If this projection materialized we believe that with a fleet of modern ships, we will command premium rates and we are positioning our company to take advantage of the strong fundamentals in our sector for the next 24 months. Slide 12. We have included this slide to emphasize the point about the order book. The order book in this slides are spread over a period of at least three years, although in most cases deliveries are front-loaded. As you can see for the two mainstream shipping segments, although the numbers are better than last quarter, the order book continues to be elevated at 30% for bulkers and 25% for containers and 16% for tankers. We have also recently renewed interest in LNG newbuildings due to the current solid chartering market. At this point, increasing LNG volumes may absorb the increase in the order book but unless there is a restraint in the ordering of new ships, this space could be over supplied in the coming years. The last bar in this graph is our own LPG sector with an 11% order book for our segment. We continued to have one of the smallest order books in this segment that does not get as much attention. Out of the total of 254 pressurized and semi-ref vessels in our category, 3000 to 7,500 cubic meters excluding the Chinese fleet that does [capital trades]. There are 29 vessels on order to be delivered over the next three years. At the same time, as I previously mentioned, around 24 vessels are older than 20 years of age and if they do not directly compete with us, all need to be scrapped in the near future. And at this point, if ton mile increases at an annual rate of about 5% as some reports suggest this could easily absorb the current order book. Slide 13. We have added this slide just to compare our company with some of the other U.S. listed shipping companies operating in different sectors, like dry bulk, LNG and tankers. As you can see there are many companies whose stock trades above their net asset values. There are may be a variety reasons for that. However, I don’t believe that any of these companies or for that matter any U.S. listed company operates in a sector that has better fundamentals in our own LPG sector, yet our stock continuous to trade far below our NAV. I would like to close this presentation by saying that over the last year we have managed to take advantage of improving markets and posted solid operational profits. The market has not reached yet to the previous peak levels but its steadily improving and we can be optimistic about the future based on the market fundamentals, which we presented to you today. The results we announced today are the best over the last two years. But even looking beyond the bottom line, the qualitative aspects of our business, we have managed to renew our fleet and keep the average age of the fleet lower and at the same time, have increased our liquidity position to take advantage of rising markets and growing our fleet further. As far as stock price is concern, despite the recent run up, I believe we still present a very attractive prospect for investors. We are solid company and an industry who outlook is bright, and we are valued very cheaply far below our breakup value. We will continue to buyback stock for as long as our stock price remains at such levels. We have now reached the end of the presentation. We would like to open the floor for your questions. So, operator, please open the floor. Thank you.
Operator: Thank you. (Operator Instructions) We have a question from the line from Jeff Geygan from Milwaukee. Please ask your question.
Jeff Geygan – Milwaukee: Good morning, Harry. Very nice quarter.
Harry Vafias: Thank you, Jeff.
Jeff Geygan – Milwaukee: Will you book a gain or loss on the sale of the Gas Kalogeros?
Konstantinos Sistovaris: It’s going to be small gain we expect, small gain.
Jeff Geygan – Milwaukee: All right. When you’re giving fleet statistics, you exclude the Chinese fleet, why is that, and you know the size of that fleet?
Harry Vafias: We don’t compete with the Chinese fleet and the Chinese fleet does not trade internationally, because they don’t have whole major approvals. We don’t know their numbers, because these are Chinese build ships, with Chinese engines, Chinese pumps, Chinese cruise and it’s very difficult to get information on that.
Jeff Geygan – Milwaukee: All right. Appreciate it. Strategically speaking with respect to the ships that you have in spot market, would it be, are your intention to trying employee more of your ships out of the spot market in a rising rate environment?
Harry Vafias: If we can get good numbers for short-term charters, yeah.
Jeff Geygan – Milwaukee: And my last question for today. What is the impact of a Greek bank default and/or Greek exit of the EU?
Harry Vafias: It’s going to be actually good news for StealthGas, because we have some euro cost, if Greek exit the euro is going to be drachma, which is going to be devalued, therefore our euro cost component will fall considerably. Excluding our office, we have nothing else in Greece. Our ships do not come to Greece. We don’t have a Greek charters. We have minor business with Greek banks and we hold very little deposits in Greek banks. So I gather the impact would be neutral to slightly positive.
Jeff Geygan – Milwaukee: Great. Thank you. Keep up the nice work.
Harry Vafias: Thank you.
Operator: Thank you. The next question comes from the line of George Berman from JP Turner & Co. Your line is open.
George Berman – JP Turner & Co.: Good morning, gentlemen, and congratulations for great quarter.
Harry Vafias: Thank you.
George Berman – JP Turner & Co.: One quick question, in the current turmoil that is going on overall the shipping industry except for UA area, with the amount of cash you have messed, you’ve also bought a significant amount of stock back. Where do you see opportunities to deploy this cash other than in buybacks?
Harry Vafias: We will -- as we said, if the stock remains at this level we will buyback more stock. But other than that we will look to buy some more ships.
George Berman – JP Turner & Co.: Okay. Great. Just to comment, all the best to the turmoil getting through the situation at least for you and your families, and your company.
Harry Vafias: Thank you.
George Berman – JP Turner & Co.: Bye-bye.
Operator: (Operator Instructions) We have no further questions, sir, if you wish to continue.
Harry Vafias: We would like to thank you for joining us at our conference call today and for your interest and trust in our company. We look forward to having you with us again at our next conference call for our second quarter results in August. Thank you very much.
Operator: Thank you. Ladies and gentlemen, that does conclude your conference for today. Thank you all for participating. And you may now disconnect.